Operator: Good afternoon, ladies and gentlemen. Welcome to the Randgold Q2 Results International Investor Call. For the duration of this call, you will be on listen-only. However, there will be opportunity to ask questions at the end of the presentation. (Operator Instructions). I will now hand over to Chairman, Philippe Lietard to begin today’s conference. Thank you.
Philippe Lietard: (Inaudible)This is the company has now returned. At the time of gloom about the gold price, with much of the mining industry forced to write down reserves and cancel or postpone projects. It is good to note that Randgold’s confidence about its future is shared by the market. This is also reflected in Randgold’s share price, which as Mark will show you in his presentation, continues to outperform those of its peers by a very wide margin. One of the things I think investors pride about Randgold is its consistency. It has never dropped or changed its plan for the sake of the short-term gain after fall of the ship and market sentiment. It has clearly mapped its growth path and has not deviated from that course but has delivered on its promises at every milestone along the way. When it has met obstacles, it has overcome them. Randgold now stands at the brink of a most exciting development in history, the first production of gold at the Kibali mine within the next few months. This is bringing this project ahead. It is bringing this project ahead of schedule and within the budget, an enormous achievement given its strides, its complexity and its infrastructure challenges. This is another tribute to Mark and his team who have again distinguished themselves by the technical and commercial competence as well as their ability to manage sensitive relationships and risks. So there are exciting times for Randgold. The fact that this happen precisely when the gold and mining industry itself faces its biggest challenges makes it even more exciting, first because it is the test of the solidity of Randgold’s strategy but also because it is as well full of new opportunities to apply that strategy. And with that, I will hand you over to Mark for the presentation on the past quarter’s results and to look ahead as we go ahead. Thank you.
Mark Bristow: Thank you very much, Philippe and good afternoon and good morning, ladies and gentlemen. I think as is customary, we’ll try and keep it as brief. The full presentation which I’ll present to you at the London Stock Exchange area today is available on our website as a webcast and if you would like to pull out any additional stuff then please do that. Reporting on what Philippe said I think it’s interesting looking at the market and the reaction to an adjustment in the gold prices. It’s worth reminding oneself that we’ve come from $300 an ounce to $1300 an ounce. So it’s $1000 up from when we listed on the NASDAQ in 2002 which is an interesting achievement. I think we as Philippe said dealt with many risks. We’ve been very cautious about how we allocate capital, the decision to strictly adhere to out $1000 [poster] as far as developing our reserves and allocating capital is certainly started to pay off. And I think just before we get on to the results and looking back I think one thing that I am mindful of is that market forecast is certainly in the time I am being involved in the gold prices hardly ever got it right. And secondly, our decision to plot our earning calls constrained by our clear strategy focused on making profits instead of letting ourselves being blown around by the thicker winds of change has been a good one. And I think to reinforce Philip’s comment, we don’t see ourselves changing course given the current situation. We are very comfortable that we have a business that will continue to grow production and improved costs on the back of better grades out of Loulo and Gounkoto and a fresh new mine was low cost operating cost in Kibali driven by the exit to CHIKA which is the key driver of our cost in Sub-Saharan Africa. So with that introduction, let’s move to the first lot sustainability has always been at the core of our business and as usual I will start with the brief run through on record and safety help and environment for the quarter. And Gounkoto and MORILA they recorded zero loss time injuries. LOULO 2 and Tongon 1, it’s also worth noting that we had a fatality at Kibali after the close of quarter two. As you know we have 9000 people working there and on the complex in remote industrial site and we certainly reinforced our commitment to safety with our employees to prevent these sort of tragic events. It was accident and cut with one of the operators of the heavy equipment getting off its vehicle, which shouldn't happen in a pit. Again we'll be reinforcing that and as always reminder that when you operate in this environment, the people who are not familiar with heavy industry, it's important we keep reminding people about the dangers of mining. Still at Kibali the relocation program is nearing completion, I'll talk on that a little bit later and analysts spent a bit of time this quarter just looking at the impact we've made on the malaria incident right in all our operations. It's the mining industry has made enormous contributions in dealing with this disease which has major afflictions in across the continent. And finally there were no Class I environmental incidents reported led to the support to the operations of project over the quarter. Moving on to the highlights, as I explained last quarter when the gold price started dropping at the beginning of the year, we stress tested all our plans against different cost scenarios. We also reviewed our plans and you will recall that we guided the markets on recut plant at Loulo, Gounkoto with the big factors on managing our mining and feeding strategy to ensure we didn't build up stockpiles. And the result of that was a slightly lower production guidance for the year and also moved some of the grades as we were planning to mine in quarter two and to quarter three and quarter four. We're starting to see grade index we started to see better grades at the end of quarter two out of the underground. In addition to Loulo and Gounkoto continued with their capital project to increase throughput and recoveries and I'll update you on that. The movement of the gold price means that our operations to deliver gold in to the market at various price points and 17% drop obviously had an impact on profits and earnings per share, which makes sense and then gold production was in line with the previous quarter but it's worth pointing out, and I will expand a little bit on this in that we experienced some lock up as we shifted the balance in Loulo-Gounkoto back to sort of 50-30 Gounkoto-Loulo feed. There is a lot of good news out of Kibali. We've already shared that with the market during our update in country two weeks ago, and we close RCF as we saw what was key for us, given that this year was a big capital year and we're anxious that we needed to ensure that we could deliver on our capital program, it's a big capital program, this year, $630 million for the group, with $370 million in to that program. We will reach our peak funding in around October and then it will come down again at this stage. And I just can’t remind you that when you look at our results, we got cash in different levels of the business. That $44 million you see in the balance sheet, that's on the group basis as we still got money sitting in the joint ventures and when you add that with the unsold goals it becomes about $100 million. And so it’s not as bad as what you see when you first look at there and some of the analyst they picked up on that and we have to correct and So I’ll just point that to you. Turning to the numbers, there is not much to explain apart from a few technical issues, you’ll feel we produced about 11,000 ounces more than we sold, which is mainly attributable to a temporary change in the export procedures applicable to Tongon. We got through that early and this quarter and that’s moved on and these things happen from time to time. Throughput was steady and although grades were slightly down on a group basis, what's rarely comforting to me is that the total cash cost in absolute terms came down by 7% and we’re comfortable that these numbers will continue to improve under the next two quarters on the back of higher grades from Loulo and Gounkoto and of course Kibali kicking in will also help with those numbers. Capital spend for six months I’ve touched on and we refreshed our guidance today regarding 900,000 to 950,000 ounces. We slipped a bit on Tongon, but we recut Loulo last quarter, but we believe that was the Kibali news we’ll comment within that guidance and likewise with the cash cost guidance we don’t see any reason to change that as well, as our cost initiatives yes really have already started. We move to Loulo, they are complex, a combine the achieved as a complex big improvement in efficiencies translated in net 10% reduction in total cash cost per ounce, and it’s worth pointing out that that was without any significant improvement in grades coming through this quarter. Throughput in production were in line with plan, recoveries were still off the 90% as we dealt with a few things. Some of the recovery that you see, the low recovery is a technical point because it comes from the build-up scat as we went into the peripheral patch and we were busy as you know from last quarter commissioning a scat crusher to eradicate the scat holdup. We’ve now commissioned that crushers and so we are really at our zero scat process now. The key is that by the end of the quarter we had build up scats and we don’t account for scats in our numbers. So the best calculated grades that you see at 4 grams assumed that those scats are residue. We won’t reprocess those scats through this quarter and so during the next two quarters, we will get a little adjustment on the recoveries as well. Just on, we made good progress on conversing the base load machines and Loulo to HFO, and you will see from the production chart in the slide that we caught up on the slower mining rates in Gounkoto for Q1 and half way through the year we are at slightly better in Loulo’s favor as far as contributions announces for the complex. We expect this to continue through the year and by early next year, we should be at about 60-40 which is the ratio of reserves between the two mines. These are the combined results for the complex, fairly really straight forward. You'll see a small mismatch between gold produced and sold, which is simply has to do with the shipping schedule. This will normalize over the next two quarters, and I’d just reiterate that we are guiding 560,000 ounces for the year. So the back end as we said would be weighted because of the access in to the purple patch and better recoveries as they are all both from Loulo and Gounkoto. Just updating on the efficiency improvement projects we shared with you last quarter. This slide really summarizes it. We've installed the new Oxygen plant and commissioned it. We have announced a backfill plants running both at Yalea and Gara, this is interim to the final paste backfill plants which are due for commissioning at Yalea at the end of the year and first quarter for Gara. Touched on HFO conversion. The four new CIL tanks which is critical to get our recovery up to 90 are due for commissioning this quarter. So we'll see the benefits of that coming through this quarter, we are comfortable with that. At the end that’s a case of cleaning up on the cyclone cluster and we've got a plan to relocate two of the crushes we operate, replacing at Tongon to Loulo to ensure that we have some back up. As far as maintenance redundancy in Loulo and then what left is the elution circuit upgrade which is due for early next year, which we will, we need to be able to deliver on our expanding answers regarding 650,000 ounces in 2014 and then up in to 700 after that. Moving to Loulo standalone specifically contributed less gold in last quarter as we got Gounkoto mining back on-track and the feed picked up and you will see that in Gounkoto standalone figures. Underground mining tonnes at the grade showed big improvements. I'll touch on that in the slides to come and overall, if you look at the great variance, slightly down that to do with the lock-up in the inventory and the scats stockpile which are very covered but nevertheless, a significant improvements in the aggregate cost and a small increase in cash costs. As we move to key features of the Loulo standalone results is that despite the reduction in tonnes, as I pointed out cost to a well contained and on the back of this, Yelea is now moving into the higher grade purple patch and we expect the cost per ounce as a complex to come down, and even more specifically within the Loulo standalone operations going forward. One aspect that I touched on earlier of the Loulo results, with emphasizing is the tremendous progress our underground team has made. As you know, we started off a bit shakily couple of years ago, that we are certainly up there where we said we will get to our target being 200,000 tonnes a month, we did 585 which is just under 200,000 this quarter, 120 average from averaged on. Yalea and Gara did very well the stock effective it was mining those structure we talked about last quarter. And so we are pretty comfortable that we cracked the underground and we really poked a Randgold stall underground where we in control of managing our own business and making best use of hot kick fuel from various contractors. I think moving to the next slide, something that’s fairly rare in these times when everyone is worrying about austerity measures, we continue to explore. We have two new targets we’re evaluating all with them, pretty interesting grades the first one being Gara South which is just out of the main processing plant, some good numbers complex geology we are looking through the alluvial gravels from the Falémé river, but we are quite excited about these results because never have we found significant results that are in isolation and in all our exploration in this region. And likewise, second target in the form of Yelea rig extension which is south of Yelea, again, recently we intersect that 21 meters at 4,9 grams in the trench. This time it showed the significance of some RC drilling we have done and recently we have picked up some interesting litho sampling results to the south of that, again a target that’s really started taking, presenting a critical mass and where we will be working through both such targets through the rainy season and developing a model and by the back end of this year we will start testing it -- testing both of them with drilling. Moving on to the entry one Gounkoto standalone, as we promised last quarter, we recovered both in grade and ore mines in the Gounkoto lifting the contribution that Gounkoto made to the complex in driving down cost significantly as you will see in the next slide just before we go there, we also have another interesting exploration development not by design but we were drilling out the geotech work for the decline on the job zone underground feasibility study and we hit 25 meters at 9 grams. It was a surprise that mineralized zone in the footwall of the nine zone we call it 9.4 but we are not sure whether it’s a hard linked back into the Gounkoto main ore body or whether we can link it into the northern located P64 target which is only a couple of 100 meters away from this intersection. Anyway we mobilized the rigs, we are going to put in a couple of shallow holes just to try and get (inaudible) on this mineralization and then we will take it from there. The impact of that is that we’ve delayed the final feasibility for the underground. It is a nice problem we have that, we haven't got it in our business plan yet. But when we will do it, just update the pre-feeds for the market by year end and then to give you a heads up once we’ve got our head around this mineralization. Moving on then to standalone numbers, again, the focus now to continue to deliver on the grade profile and maintain our cost performance on this project it is what we indicated last quarter that we will be a bit bumpy getting into the high grades but slowly as we show them that long section last quarter Gounkoto as we mine deeper we get into better and better grades. Just reminding you that the plan is to really by next year get into a 60-40 split in Loulo’s favor to ensure that we optimize the location of both ore bodies. Just this slide really just to try and give you a feel of the complexity of these high grade zones within the Gounkoto orebody, where the latest in MZ4 footwall mineralization fits relative to the main orebodies and P64 deposit to the North. And I would display that you that geologists have already started understanding its orebody, we've got some upside potential in a hanging wall zone which seems to appear when the main zone spins out in what we call a pinch area, thin zone area and we also continuing to build our understanding on the footwall context again with potentials to add to our reserve base. Turning to Morila, it outperformed its plan again this quarter. We are well on track with the Pit 4 South pushback, no real red flags in Morila, it's our best operating team that really keeps living up to its reputation and we're now re-cutting the tailings retreatment plan given the current gold price scenario and indications are that we will be able to do high grade effect and reduce the loss and make it little bit more viable with the focus being really on a proper closure of this mine and being able to deliver our agribusiness in a sustainable way to leave behind once we finally close the mine and we will update you as we go with this project. These are the numbers, they really speak for themselves, very pleasing to see how this team has got the cost down despite the fact that we are probably facing mineralized waste at this stage. Moving on then to Tongon, in the Cote d'Ivoire, the team has gradually been getting on top of the operational issues, which continue to challenge the mines. We made good progress on the power supply and therefore plant availability. This quarter, we really tick the box on getting the open pit mining sequence right. It's now with full into the rainy season in both Gounkoto and Tongon and Kibali for that matter. Our mining is going well. I’ve always made an effort to point out that we don’t use rain as an excuse. We should be able to operate in this and we are. And then what’s left now is really a focus on the upgrades projects and the two real focus is on throughputs which I’ll surely come back to you and just give you a heads up in the slide after the operating results. So moving on to operating results really reinforces what I already told you. The throughput done because we were done tying in some of the new projects during the quarter grades with flat, recoveries are reasonable, and the key is I’ll just remind you we are planning to get those recoveries up to 82 this year and I think our efforts are starting to make small gains every week. Moving on to those specific projects, this is just a summary of where we are. We’ve not, I think it’s gone a long way to stabilize the power supply as June. We used 98% Gounkoto for the quarter. We came in at about $0.13 a kilowatt hour so that’s a good measure, we would really like to get down into the $0.12, but we are very close to being there and I must say the work is the with the CIE (inaudible) target in Energy Ministry has been very constructive and the results are tangible. At the same time now our installations to stabilize the power has worked very well and also our team is much more efficient at restarting the plant when we do have blackouts, we can get the plant up and running within 20 minutes which is a big difference from when we first started dealing with these interruptions. We’ve installed the few additional pump-cell tanks. We installed the first Vibrocone crusher to replace the Hydrocone crushers. On time it’s failed. As you probably see in the slides, the supply is taking it back the next flood is already in country and so we will use the second. It’s a full crusher replacement so we will use the second to replace the third, the third replace the second and the fourth to replace the third and by that time we will have the fourth one on top, so we are still on track to continue to do that. So that deal we believe very much with the throughput issues and then it’s a case of really just continuing to work on constant operational steadiness and deal with the flash floods at the start of the operation. I will just point out that Tongon is still very viable and it’s gain -- even at these gold prices it will pay back its capital on the back half of next year. And the big challenge now is to drop down our products from the back of improved efficiencies and start clawing back some of those reserves in the pit that we have lost because of the higher grade that we talked about last year. Also on exploration we’ve been very active in the Northern Cote d’lvoire. We over the course of quarter closed down operations or busy closing them down in Burkina Faso relocated our exploration here into the Northern Cote d’lvoire and likewise have started Mali team. We both are relocated that in Ivory Coast. We think that this country is highly perspective, we made good progress in our engagement with the governments on the new mining code. We feel that the right place to be putting our energy, it’s a biggest undeveloped footprint of the Birimian in West Africa largely preserved by the conflicts in Ivory Coast over the last ten years and the fact that before that it was really focused on an agribusiness rather than encouraging mining investment. Moving on then to across the continent to East Africa and the DRC, certainly an exciting time as the Chairman alluded to as you would have seen from the press releases two weeks ago, we've brought the first gold schedule forward and the mine is now on the immediate pre-production stage was first to all planning to feed at the end of this month. And then we'll (inaudible) plant and the inventory build up through September, with the intention of starting to pull gold from the circuit in early October. There is no big red flags on this project. You'll see we upgraded the cost estimate 2% up from what we said in January, and we should be complete with the first phase and only have one of the four hydro power stations and the processing plants and infrastructure complete by early in Q2 next year, and then what is left is the vertical declines in the other three hydro power stations. And these are the pictures just to give you a heads up, the vehicle shaft is gearing up to convert from the pre-sink, it’s just over a 100 meters deep and it will then go to through main sink with the full headgear once we commission it, and we’re busy with that at the moment, and the plan is to target about 183 meters by the year end. (inaudible), we expect to double development to date by the end of the year, and both those are comfortably on track but nobody expected to be affected by the [detox] in 2013 and by the vertical shafts in construction in early 2017. The next slide is just an update on the RAP. As you know, we've often said this was probably the most complex and sensitive part of the development. It's scheduled for completion in the current quarter, and to-date we've moved over 3,300 families in to the new village of [Kokiza]. We have built 11 schools, 6clinics, 25 places of worship, and we're in the final stages of relocating the large Catholic church complex. This is the last holding to go up, which is the main church as you see in the picture, and we're now in the process of handing the village over to local administration with the support of national Government. As I mentioned, the commissioning of the plant is being done in stages as shown here, the oxide circuit is the first stream, which will be commissioning, and its initial oil source will be tailing from the old Durba plant from the Belgium (inaudible), and then we’ll start feeding KCD material after that. It's very nice to (inaudible) and get the plant running on the tailings material, 2.6 grams a ton, and it's washed and cleaned and then you are able to get it through the plant quite quickly and buildup the inventory. I’ve touched on the vertical development and its progress. This is just the way it looks at the moment, and the next slide is – a lot of the work that we’ve been doing on the ore bodies has resulted in an upgrade in the resources. As you will recall, we purchased 21 million ounces from Moto, soon after we took over, we reduce that to 18, and then last quarter we gave a million ounces back to Sokimo which took it down to just under 17, and now we’ve bought it back over 21 with the addition of all the undergrounds resource and at a substantially higher grade as you can see in this table. We expect to be able to convert quite a large portion of this to reserves, and we’ve got to be updating an interim reserve statement at the end of Q3, and then with the next slide along with the (inaudible) drilling on some of gaps to the 9,000 Lode wheel, we anticipate to further convert into reserves along with annual reserve or so statement early in the new year. We haven’t been (inaudible) as far as regional work goes, and the team has really got their head around the geology, that’s why we are now able to ready (inaudible) on the models and get these resources (inaudible) and likewise with the plants coming into production, always all the product was at between 50,000 and 100,000 ounces that (inaudible) grades are very real value added efforts and very value added for the geologists, and we all believe that there is still that potential to pull out the big one as we go. And just taking a step back to Massawa; again you’ll will recall last quarter we did some infill drilling in the central zone to really get our head around the deportment of gold and its quite complex ore body, it’s got refractory portions too, it’s got a lot of (inaudible) and some parts of it is very complex, and so we went to drill those 5x10 meter grid on the 150 meter (inaudible) in the central zone. This last quarter, we did the same in the North 2 zone, and we expect once we finish the analysis to be able to get a good handle on the density, our drilling requires to bank this deposit. At the same time, we took 20 ton samples to be able to test both the (inaudible) which is free gold, and how it performs metallurgically, and then also to really get our hand around the more refractory part of the ore body which we find blasts away through the main whole ore bodies that make up the deposit. Taking a step back into exploration; as we alluded to you last quarter, we’ve already refocused our business in to the four key footprints; one on the Mako Belt which is in Senegal and around the Massawa deposits, the other on the Senegal, Kibali and (inaudible) zone in western Mali, eastern Senegal, the third in northern Côte d’Ivoire where I already touched on and then the fourth being the northeastern part of the DRC. And three of these four areas we have recently closed joint venture and an agreement, one in Senegal with Goldstone; another in western Mali just out of Loulo with Taurus; and the one that we talked to you about last time with the KiloGold joint venture just northwest of Kibali. And looking ahead, how this drop rate summarizes our business plan in a single slide, it shows the benefit, I believe, of a disciplined long range thinking and the importance of preserving the quality of one’s assets instead of using the gold price to drop one’s business, and so despite the downturn in gold price, we don't see our strategy changing, that's a good test of whether strategy is robust or not, and I think you've seen it's been no (inaudible) drop downs, we haven't had to go and (inaudible) our head office, because we don't have a corporate office to halt, and we focus on delivering value by making sure we've got the right resources at the operations. Our business model has always been planned to deliver returns at lower gold prices, and we have therefore not been forced to write down the reserves, because we calculate in $1000, and Kibali with its early startup, Loulo and Gounkoto active in better grades, Tongon focused on its turnaround and improved efficiencies across the group, and already we are showing the signs of better cost, of course you will all appreciate our suppliers are all willing to discuss better and improved delivery and renegotiation of costs as the market stops biting and they have to keep their market share and their clients. So, we've been a good look at reviewing our business. Ee already focused on our logistics and supply chains, as we commission coming to the end of a two-year program to upgrade our logistics and management of our key (inaudible), and so all-in-all I think we're really well positioned to continue to be able to grow our production at lower total costs and really pulls the margin in which we can manage a profitable business. And then finally, as is customary, I thought I would share with you a lead table. This time, I sort of zoomed up and in fact went back to 2002 when we listed on the NASDAQ, it's interesting to remind you all that the gold price was $300 an ounce then, and you know, you look over these last 11 years, and we were able to say that we have genuinely delivered value for our shareholders as you can see from this graph, , there is a couple of handful of companies being able to say the same thing, but the large folks in our peer groups have ended up with share prices less than what they were in 2002, and that’s really a reminder of the importance of having a clear strategy and not just going with the flow to (inaudible). I think we really believe in what we're doing. We think we’ve got a team that is experienced. We’ve certainly got memory of the last time we had to battle against lower revenues and top operating positions, and we're privileged to be able to be supported by better grades coming out of our Mali assets and a new mine which is inherently low cost. And with that, I hand over to the operator to take questions.
Operator: Thank you. (Operator Instructions) And our first question today comes from the line of Patrick Chidley of HSBC. Please go ahead.
Patrick Chidley: Quick couple of questions more on then exploration than obviously the hole that you have drilled in between basically in Gounkoto ore bodies and P64, have you done any further drilling to sort of around that yet?
Mark Bristow: I think Philippe, you can comment.
Philippe Lietard: Hi Patrick, not yet we’ve just, the Jog Zone is now exposing the pit in the northern end. So, we have (inaudible) in P64 again, we got this core, and we’ve got a program of few holes that are going in actually later this week to give us some, we have actually marked and [turned] (ph) out of footwall contract and the hanging wall contract, so we know where this mineralization is and that’s what we are close testing now.
Patrick Chidley: Okay. And the P64 is what about 500 meters away from the northern end of the pit?
Philippe Lietard: (Multiple Speakers).
Patrick Chidley: And this is in between the pit, and so do you think the structure runs sort of directly in between or is this a new structure that sort of…?
Philippe Lietard: I think it’s a parallel structure so you got MZ1, MZ2 and MZ3 and then we’ve got, it’s a sub parallel zone between MZ3 and P64 which at the moment we’ve termed MZ4.
Patrick Chidley: Okay, so the potential is to add this, whatever it is and P64 to the pit in the future maybe?
Philippe Lietard: Yeah, and there’s also to the additions for the underground option within the Jog Zone as well and what’s interesting as well Patrick is that hanging wall structure dips to the east and so all of the resource drilling has been drilled from east to west and the footwall structure dips to the west and we are also finding in the main zone in the pit there is some significant amount of mineralization so that’s sort of our current model and we are now having to drill the footwall from west to east.
Patrick Chidley: Yes, okay.
Philippe Lietard: So there is a whole opportunity on the footwall of the Gounkoto mineralization to follow-up.
Patrick Chidley: And then just on Yalea South and the Gara South, those areas are they new or are they things that you sort of had some hits in, in the past and you’ve come back to on?
Philippe Lietard: They are new, and so obviously there is complexity there. You are not far from, particularly in Gara South, from the Falémé river so we got up to three meters of [unsupported] [ph] gravels on the top and we found - we’ve done geophysical ground, geophysical surveys and there is a lot of folding in there; we got to excavate some big trenches in which is helping to - so that we can see the mineralization; we got very strong observation and very good meter by meter tenor of gold grades there and as Mark said earlier, we tend not to get singled into section hits in the Loulo area, so we are very excited about this one and obviously the 21 meters of 5 grams in Yalea South as well very strong observation, a lot of iron in the system and silica . But again all the hallmarks of potential for significant minerialized system on both of these targets and with proximity to the plants.
Patrick Chidley: Right. So Yalea Ridge South area that mineralization looks a bit like for example what you have at Yalea itself?
Mark Bristow: We are not sure at the moment because it’s obviously we're looking in the saprolite but there is a lot of folding in that area and sharing as well; there is more folding than we see at Yalea.
Patrick Chidley: All right. And then Gara South is that the same tourmaline, quartz tourmaline type…?
Mark Bristow: Yes, it's not quartz tourmaline. It's again a lot of hematite and silica, and it hosted by sediments but not the quartz tourmaline.
Patrick Chidley: Okay, all right. So it's slightly different than the Gara itself?
Philippe Lietard: New targets, Patrick, interestingly, they are new and very complex geology where you’ll need to get you head around. So originally we are drilling straight down and then it’s only when we started digging the trenches that we realized that you can’t draw straight lines on it, you got to really - (inaudible) Gara, big structures and refolding structure, it's going to take a bit of time.
Patrick Chidley: Okay, great. Well, thanks for the geological color there. I’ll hand over to someone else. Thanks
Operator: Thank you. Our next question comes from the line of Bart Jaworski with DAVY. Please go ahead.
Bart Jaworski: Just have a quick question on Loulo. And Mark you can just elaborate why the grades there dipped to 3.7 grams this quarter, I'm just wondering whether it had anything to do with the increased throughputs, the success you had there and also maybe, thirdly, whether that may dilute some of the benefit you are expecting to get in the second half from the purple patch?
Mark Bristow: Well, I did try and explain that. - If I try, I'll take another crack at it. The way we run our refining or our toll seeking agreement with Loulo and with Gounkoto is what Gounkoto delivers to Loulo is we assume is processed. So it gets the full credit as it’s delivered. As you saw, this Q2, the delivery from Gounkoto stepped up materially both on grade and on tons. Now, some of those tons were not processed during the quarter, but they were delivered to the plant, went through the crusher, and they ended up on the large stockpile. So Loulo carries that in it's numbers and on top of that we had a period at the back end of the quarter where we built a fairly large scats stockpile as we moved towards getting the scat crusher in place and that scat stockpile because of the feeding of higher grades from the underground purple patch and the Loulo, I mean the Gounkoto higher grades, ran at a higher grade in it's inventory but we don’t account for it in our grade. Our grade that you see that 3.7 is back-calculated grade, but it will wash out and these things happen from time to time when we change grade and feed ratios. We're already seeing those grades coming through this quarter, it will wash out and so the feed from underground is [4, 3] [ph]. Some of the underground ore didn’t - ore gets fed again and because of the sequencing and so we did take some lower grade pass through the cones as we were building up the higher grade into the plant. So again just to repeat myself, we declared the back calculated grade based on gold produced that’s the bars of gold produced plus the residue based on the tailings grade divided by the milled grade and we don’t try and account for any lock up in inventory – sorry, by milled tonnes. So, gold produced in bars plus the residue based on the grade of the tailings divided by the milled tons. And we managed that and many companies if you try and calculate grade by tons, by recovery you don’t always get the gold produced. Whereas in Randgold you get close to that because we don’t try and account for any slack in the inventory and at the same time as we [spend] [ph] higher grade to the [inaudible] at the back end of Q2 so we locked up in the process some gold, that will stabilize and then it starts coming out. So in the long run these things wash out. And we are already seeing that grade coming out on the - we’ve finished the first [months] [ph] of quarter three, so we are comfortable in guiding you on this.
Bart Jaworski: Okay. So mining dilution did not go up basically?
Mark Bristow: We’ve been struggling a little bit with mining dilution in quarter one, but quarter two we are pretty on - bang on without dilution. Gounkoto is running at around 5% and we are about 8% to 12% at Yalea and we are very happy with those levels.
Bart Jaworski: It sounds very good, okay. And just on the split between Gara and Yalea then, 73,000 or 73,000 tons per month versus 123, do you think that will rebalance to a 100-100 going forward?
Mark Bristow: That has always been - last quarter we got it, but definitely we are going to do a 120 and 80 and we will manage that. I think we really are getting comfortable with being able to do this, and this is our first quarter where we [inaudible] underground ore. We did- the Yalea delivery came from [inaudible] and we got more flexibility to manage that now, so more and more the mine is used, [excuse is] [ph] less and less, and that’s part of just getting everyone focused.
Bart Jaworski: And the mining looks there at Gara and Yalea, I guess with Gara is a bit skinnier as well, right.
Mark Bristow: Gara is, yeah, and that’s why we re-guided last quarter and we said we cut back a little bit, but our development is bang on. This quarter really met our development budget and that’s the key as everyone knows in underground mining. We’ve got an added flexibility coming once we commission the paste back fill, because at the moment we are building up developed but not mineable reserves underground because we are only mining the primary stopes and we are leaving the secondary stopes as pillars and till such time that we got the full paste back fill because our intention is to extract 100% of the purple patch. So in the purple patch we are mining and [leaving] [ph] one. As soon as we get the paste filled those developed reserves becomes developed and minable and that gives us more flexibility by early next year.
Bart Jaworski: Okay. And if I may one last question on Tongon, just the Vibrocone crushers, the first one seized up when you - can you just give us a little bit of color why that happened and what's the chance of that happening again?
Mark Bristow: A higher technical - technology in the crusher, it crushes to a much finer size. We had, it's the crusher that’s being used in other mining industries like the iron ore and other places but this is the first one that’s coming into a hard rock gold mine, and there was a, from what we can see and it’s still caused that defect, the guys need to go through it, but it looks there was a defect in one of the upper parts of the frame. Anyway Sandvik were on site working with our team to commission it and they were very responsive, they were on the button it’s as important for them as it is for us. And I'm pretty sure we’ll get on top of that. It’s just one of those things, every now and then they happen.
Bart Jaworski: Yeah. I'm surprise that you had to replace, so I just thought maybe with something like that you could repair it?
Mark Bristow: Yeah, when I say replace it, they are taking it back to their factory, they’ll dismantle it and I'm sure they will repair it; I don't think they will rebuild the whole crusher.
Bart Jaworski: Great, all right.
Mark Bristow: It should be back on site at the back end of this quarter.
Operator: Our next question comes from the line of James Bender with Scotiabank. Please go ahead.
James Bender: I just have a short question on Kibali. With it doing the first gold in October, what amount of commercial production do you expect in 2013?
Mark Bristow: James, we guided 30,000 ounces I can promise you if everything works it will be a lot more than that. We don’t want to, I don’t think, what we've said is we said with our full cost on swings in roundabout that we've kept our guidance of 900 to 950 for the group on a consolidated basis and so we expect Kibali to help fill the gap left by some of our underperformance in the first half. I don’t want to get into forecasting absolute ounces in Kibali because it's in commissioning phase and we will let you know as we get there.
Operator: We currently have no questions coming through. (Operator Instructions) And we appear to have no more questions. I will hand back to your host for any concluding remark.
Mark Bristow: Thanks, ladies and gentlemen for your time and interest and again as usual the team is always available, should you want to drop us an email or put in a call, should you have any questions that you don’t want to share on this call and we will be delighted to take them. Otherwise, we will, next time we will be around is when we announce the first gold at Kibali. We look forward to that day.
Operator: Thank you for joining today’s conference. You may disconnect your lines.